Operator: Good morning. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to the MariMed Inc. Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] I will now turn the line over to Jake Dean, Director of Research and Development. Please go ahead.
Jake Dean: Hello, and good morning, everyone. I'm Jake Dean, Director of Research and Development at MariMed. I'm very proud of the contributions my team has made in supporting the growth of our company. We work hard to identify new and innovative product opportunities and make sure all of our products are consistent, delicious and meet our very high standards for quality. I'm honored to kick off today's 2025 second quarter earnings call. Joining the call today are Jon Levine, our Chief Executive Officer; Mario Pinho, our Chief Financial Officer; and Ryan Crandall, our Chief Commercial Officer. This call will be archived in our Investor Relations website and contains forward-looking statements. Actual events or results may differ materially from these forward-looking statements and are subject to various risks and uncertainties. A discussion of some of these risks is in the Risk Factors section of our 10-K and 10-Qs available on our website. Any forward- looking statements reflect management's expectations as of today, and we assume no obligation to update them unless required by law. Additionally, we will refer to certain non-GAAP financial measures, which are reconciled in our earnings release. I will now turn the call over to Jon for his second quarter overview.
Jon R. Levine: Thank you, Jake. You and your R&D team are the drivers of the innovation that sets our product apart and are contributing to achieving our goal of becoming a leading cannabis CPG company. Good morning, everyone, thanks for joining us for today's earnings call. We reported last night during the second quarter we achieved growth and expansion across our business. Our wholesale and retail revenues increased sequentially. We achieved substantial increase in EBITDA. We were cash flow positive, and we continued to maintain a healthy balance sheet. Our team was relentless in their commitment to our vision, and we can't thank them enough for their hard work and dedication. To be clear, there still is a lot of near-term uncertainty in our industry. Pricing pressures, market saturation and the lack of federal reform still pose a challenge that we will continue to navigate. Our Expand the Brand strategy is working at the same time that more customers are choosing cannabis, consumer sentiment for legalization has never been higher and industry sales continue to increase nationally while alcohol and tobacco sales continue to decline. As a reminder, Expand the Brand focuses the company on making our products accessible to as many customers as possible. During the second quarter, we once again grew our wholesale revenue sequentially and year-over-year. Our products, including our premium brands: Betty’'s Eddies, Nature’s Heritage, Bubby’'s Baked, Vibations and InHouse have really hit their stride with consumers and continued to maintain a significant share of the market. I was generally pleased with our continued wholesale growth during the quarter. We opened new doors and had a particularly strong quarter in Massachusetts. That said, our performance in Missouri has not met our expectations. We're looking at our options in order to improve overall company profitability. Turning to Retail. We had one of the best quarters in terms of our sequential growth. A series of pricing and marketing strategies we rolled out late in Q1, worked to defend our turf at some stores and grow sales at others. This was also the first full quarter where we were able to report the revenue of our Delaware operations, including sales at our two dispensaries there. Speaking of Delaware, I want to thank our team for being ready to take full advantage of adult-use sales when they began last weekend. We made a bet on expansion of the program a long time ago by investing in our facilities, our brands and our people. We were fully prepared to leverage our leadership position in the state, both retail and wholesale. It has only been a few days, but we are very pleased with the results. [Audio Gap] to be top sellers in their categories nationally in the next 5 years. To achieve that goal, we must supplement our organic growth with M&A and licensing to bring our brands to new high-growth states. We took a significant step forward last week with the announcement of our MSA agreement to manage self cultivation and processing facility in Pennsylvania. That agreement will immediately contribute to our top line and our margins, starting September 1. Pennsylvania is on everyone's radar as the next major state that is likely to add adult-use sales. We also entered into a licensing agreement, which will enable us to distribute our product in the state. We are hopeful to have as many of our brands approved by the state of Pennsylvania and distribute it during the first half of 2026. Also on the licensing front, we announced a deal with a new Maine partner last month that will expand distribution of Betty’'s Eddies to both rec and medical customers. Maine doesn't get much national attention, but it's a huge tourism market. It's also one of the few states that generate similar sales volumes for both adult and medical. We are also talking to partners in other states where we know our brands would succeed. It's no secret that there's a general malaise that engulfed cannabis the past year or 2, but I believe it may finally be turning the corner. If you listen to our calls over the years, you'd know that I've been among the most cautious CEO in predicting federal reform. But I feel like all the chatter we've seen recently is more credible than I've seen before. I'm growing more optimistic about the prospect of rescheduling. Taken together with our second quarter results, the operating of adult-use sales in Delaware, our move into Pennsylvania and the continued growth of our brand, we are on the way to delivering the shareholder value our investors deserve. With that, let me hand it to Ryan.
Ryan Crandall: Thanks, Jon, and good morning, everyone. As the person responsible for top line revenue of the company, I'd characterize the second quarter as extremely positive. That said, there are still several opportunities to improve performance in the second half of 2025. Market share growth for our brands remains a critical KPI for us, and our products continue to grow or maintain their share in key markets. Betty's Eddies remain the top-selling edible in Massachusetts, Maryland and Delaware and continue to be among the top sellers in Illinois. Vibations also continue to perform very well. THC beverages are having their moment and our decision to capture white space with a powder drink mix rather than the cluttered ready-to-drink category is paying off. The brand is top 10 in all of our core markets. Our dedication to continually bring to market high-quality products filling consumer needs is what drives the development of Vibations, our Betty's limited time offer products and broadly all of our innovative products. Our R&D team has now developed another winner with MycroDose, a pill that combines the best of THC and other cannabinoids with functional mushrooms. We rolled out the brand in Massachusetts during Q2, and sales have exceeded our expectations. We are now executing our plans to bring MycroDose to other wholesale markets. Speaking of wholesale, our sales and brand ambassador teams continue to punch way over their weight quarter after quarter, and it's not by accident. We've built a MariMed culture that rewards hard work, merit and doing the right thing by our customers. We are proud to say the formula is paying off. We continued to grow our wholesale revenue in Q2, although the gains were partially offset by the challenges we're facing in Missouri as well as the metric transition in Illinois. Jon shared what's happening in Missouri. In Illinois, our shareholders may not know that in June, the state implemented a change of the seed-to-sale platform that tracks all cannabis products. For a few days during the month, shipments from operators were adversely impacted. The transition is complete, but it took a bite out of our Illinois wholesale revenue for the quarter. Since then, sales have quickly returned to their pre-disruption levels. Turning to retail. Last quarter, I discussed several initiatives we implemented across pricing, marketing and operations to offset the challenges of price pressure and competition we've been experiencing. Our efforts paid off in Q2 with an increase in both sales and transactions. Among the most notable contributors was our loyalty program. Our Thrive perks members delivered a higher AOV than the average customer during the second quarter. Growing this program is critical to our success. The last quarter, we grew loyalty membership 6% across all our markets. Over 40% of our transactions now occur online and enhancements we made to our retail websites to make our shopping experience easier and quicker also contributed to our growth. Those enhancements were part of our transition to one national retail brand. Last quarter, our three dispensaries in Massachusetts were all changed to the Thrive name. We did the same in Delaware last week in advance of adult-use starting. All 13 of our stores now operate as Thrive, which, of course, will help us in terms of building brand equity. It will also help our bottom line, delivering efficiency in both dollars and time. Jon has instilled in the company the mantra that we are all going to win by becoming the leader consumer packaged goods company in cannabis. This is a highly achievable goal given the performance of our current portfolio. There are significant opportunities to continue growing market share as we push the envelope on innovation, marketing and execution. That concludes my update, and I'll turn the call over to Mario.
Mario Pinho: Thank you, Ryan, and good morning, everyone. Last night, we reported second quarter consolidated revenue of $39.6 million, representing a 4.4% increase sequentially and a 2% year-over-year decline. The quarter-over-quarter growth was driven by gains across both our wholesale and retail channels. Starting with wholesale. Wholesale revenue grew 2% sequentially and 8% compared to the same period last year, which represents approximately 43% of our aggregate product revenue. The sequential growth was primarily driven by a 5.6% increase in our wholesale revenue in Massachusetts. This growth in Massachusetts was fueled by expanded market penetration with our products now reaching 74% of retail doors, up from 71%. These gains were partially offset by declines in Missouri and Illinois as previously discussed. Our retail revenue increased 8% sequentially and declined 5% compared to the same period last year. The sequential growth in revenue was driven by growth in top line across most of our dispensaries. On a same-store basis, we saw increased revenue at 9 of our 13 dispensaries. We are especially pleased with the sequential traffic growth at our Tiffin and Upper Marlboro dispensaries, which increased 23% and 36%, respectively, signaling momentum from targeted marketing efforts and expanded product offerings. On an aggregate basis, traffic increased 8.4% sequentially or 4.7% if we exclude our two Delaware dispensaries. The year-over- year revenue decline was largely attributable to reduced performance at our Metropolis dispensary, where sales were impacted by increased competition from two new dispensaries that opened in close proximity over the past year. Despite this decrease, Metropolis still remains our biggest store in terms of revenue and one of the top-performing stores in the state. Excluding the impact of Metropolis, retail revenue increased approximately 14% year-on-year due to the scaling of our Quincy dispensary, our new Tiffin and Upper Marlboro dispensaries, along with contributions from our two Delaware dispensaries. Non- GAAP adjusted gross margins for the second quarter was 41.9%, up from 41.3% quarter-on-quarter, but down 100 basis points from the same period last year. The sequential improvement principally reflects scaling efficiencies at our cultivation facility in Illinois. The year-over-year decline reflects a shift in revenue mix following our consolidation of FSC, which resulted in the loss of high- margin management services revenue and the ramp-up cost of Missouri, which is still scaling its operations. On a GAAP basis, the company generated a net loss of $1.3 million during the quarter. This compares to a net loss of $1.6 million in the same period last year and a net loss of $5.4 million that we reported last quarter. This improvement reflects higher revenue, better gross margin performance and lower nonrecurring expenses compared to Q1. Total operating expenses for the second quarter were $13.8 million or 35% of revenue. This compares to $15 million or 37% of revenue in the same period last year and $14.9 million or 39% of revenue in the first quarter. The addition of $2.3 million in revenue from a full quarter of our FSC acquisition contributed to overall growth, while operating expenses increased by only $200,000 sequentially after adjusting for the onetime write-off of a non-trade receivable in Q1. This modest increase reflects the success of our integration plan and disciplined cost management. Incremental expenses related to our Delaware operations were largely offset by reductions in payroll and general operating costs driven by the cost-cutting measures implemented earlier this year. Adjusted EBITDA in the second quarter was $4.9 million, an increase of $2.3 million sequentially and $541,000 year-on-year. This growth was driven by the factors previously mentioned. Turning to the balance sheet and cash flow. We maintained a strong balance sheet, ending the quarter with $6.1 million in cash and cash equivalents and $38.5 million in operating working capital. We had no significant expenditures during the quarter. We generated $297,000 cash flow from operations compared to $3.2 million in the same period last year and $1.3 million in the first quarter. The decrease in operating cash flow was driven by inventory buildup in Delaware in anticipation of adult-use and to meet the demand for our products in our other growth markets. Importantly, our days sales outstanding remained strong. Unlike many of our peers, we are not experiencing significant write-offs of trade receivables, which reflects our disciplined credit policies and active oversight of customer payment behavior. In summary, we are pleased with the progress made in the quarter despite some operational and market-specific challenges. We were resilient through disciplined expense management, strong execution in our core markets and continued margin expansion. Our balance sheet remains healthy, supported by strong operating working capital, positive cash generation and prudent credit practices that set us apart from our peers. Looking ahead to the second half of 2025, our focus will be on driving top line growth and profitability while executing against several key catalysts, including: first, expansion of wholesale distribution in Illinois and Delaware, where we are adding new retail accounts, increasing order frequency and scaling demand for our branded products. Second, the launch of adult-use sales in Delaware, which will broaden our customer base and amplify retail and wholesale revenue; and third, executing on our new partnerships in Maine and Pennsylvania. At the same time, we are actively evaluating the path forward for our Missouri operations to ensure they support our long-term financial objectives. That concludes our financial review. I will now turn the call over to Jon for his concluding remarks.
Jon R. Levine: Thank you, Mario. Before we take questions, I'd like to thank our MariMed employees for their relentless dedication to improving the lives of our patients and customers every day. We are on our way to building a powerful cannabis CPG company, and we couldn't do it without them. Operator, you may open the line for questions.
Operator: [Operator Instructions] Our first question comes from Andrew Semple at Ventum Financial.
Andrew Semple: I'll start off with Delaware. Given it's the first time we're seeing Delaware fully consolidated in the results, would you be willing to provide kind of what that contribution was in the first 3 months of that business being consolidated?
Mario Pinho: Andrew, it's Mario. We don't provide results at state level. But from an adult-use perspective -- sorry, from a consolidation perspective, are you looking more from a revenue perspective or gross margin contribution?
Andrew Semple: From a revenue perspective.
Mario Pinho: So, I would say it generated about $2 million on a quarterly basis.
Andrew Semple: Great. That's helpful. And then I guess, from sequential to quarter end, the last week, we've seen adult-use sales commence in the state. Just looking for an update on how that's going. I saw the regulator had an announcement that sales are up prior to the medical run rates, but they didn't really disclose kind of percentage gains there. So just wondering if you have any color on how the early days of the adult-use market is going and what -- where kind of the bottlenecks are to further advance growth in that state.
Ryan Crandall: Sure, Andrew. This is Ryan. So very excited about the Delaware launch of adult-use so far. We are seeing increased growth at both retail and wholesale as expected. We do foresee additional growth in the market as awareness becomes higher over the coming months. And we are very, very well positioned from a cultivation standpoint, from a finished goods product standpoint to capitalize on the lead that we have in that market. So we're very excited.
Andrew Semple: That's great. And then maybe moving over to Pennsylvania. Good to see MariMed establish a foothold in that market. Just a couple of questions on that. First is how -- maybe how big of a presence TILT has there today? And what -- where do you think the big improvements are that the MariMed team can bring to that business? And then second, TILT probably doesn't have the -- among the stronger balance sheets in the business. How are you managing the potential credit risk in collecting payments for your management services, agreements in that state? That would be helpful.
Jon R. Levine: Andrew, thank you very much. This is Jon Levine. I appreciate you being on the call this morning. Yes, we're very excited about expanding our brands into as many states, and this opportunity came up to be able to manage the services in PA. TILT at this time has very little of a branded product presence in PA. With our brands, we feel that we can get in there before the adult-use and expand it even more with adult-use when it does happen, which gives us the opportunity to build a bigger market with our brands in one of the top states in terms of revenue for cannabis. So we're very excited about that opportunity. As far as collection of our management fees, we've never had a situation where we haven't been able to collect any of them. We just did the final conversion of First State Compassion into our business in March of this year, which got rid of the collection of management fees and rent and put them on our reporting. So we've never had a problem of collecting, and we feel that with the cash flow that we'll generate for TILT that we'll still be able to get our current payments of management fees.
Operator: We'll move next to Joe Gomes at NOBLE Capital.
Joseph Anthony Gomes: I apologize, I got dropped from the call, so I missed most of Jon's and all of Ryan's comments before they could get me back on. So if I ask a question that's been answered, I apologize in advance. I was wondering if you give us a little more detail here on Missouri. What seems to be the issues? What's -- you talked about you're looking to maintain profitability company-wise. So what are the -- we're talking the range of options here, sale, exit of the state. Is this a state operations where you think you can turn them still around? Just some more color would be greatly appreciated.
Jon R. Levine: Joe, it's Jon Levine. Thank you for joining us, and I apologize that you fell off the call. That's a very good question on Missouri. Missouri, we have been building that operations up. It hasn't been building as fast as we would like to be able to get rid of those losses that we have to carry. So we're looking at all opportunities, whether it's to expand in the state to get more [indiscernible] or to sell or close in the state. We have to make the decision that is best for the shareholders and for our profit and loss statement.
Joseph Anthony Gomes: And any timing on that, of when you think a decision is made? Is that third quarter or year-end?
Jon R. Levine: I would hope that we would have something before the end of the year.
Joseph Anthony Gomes: Okay. And I know one of the other markets you've been looking at is New York. And I was wondering if you had any update on the -- just the potential for the New York market?
Ryan Crandall: Joe, this is Ryan. Thank you for the question. Yes, we are actively pursuing New York. We're excited about the opportunity in that market. We think our brands will play very well. So nothing to announce yet, but certainly working in that direction diligently.
Joseph Anthony Gomes: Okay. And then, Ryan, in your last call, you talked a lot about the addition of some hemp products. And again, I apologize if you talked about it when I was off the call, but I was looking for maybe a little update on how that is progressing?
Ryan Crandall: Sure, Joe. What I would say there is that we are still evaluating options, still staying very close to developments as they happen at a federal and a state level and evaluating options. Nothing to announce there yet.
Operator: [Operator Instructions] We'll go next to Pablo Zuanic at Zuanic.
Pablo Ernesto Zuanic: Can I just follow up on Delaware? If you can comment in terms of how many stores are actually selling rec right now? How many do you expect to be selling rec by end of the year based on licensing? And just if you can remind us of the wholesale picture, how many wholesalers are there over there? Do you have a big lead? How big are you versus other wholesalers? That would be helpful.
Ryan Crandall: Pablo, thank you for the question. Yes, in terms of Delaware, 13 stores are licensed to be open for rec at the time, and those are all existing owners of dispensaries that have expanded to new stores. So that's the presence, and we do expect some more stores to come online likely before the end of the year. So wholesale will be blossoming for us over the next several months.
Pablo Ernesto Zuanic: Right. But can you give more color in terms of how many wholesalers are there in the market right now? I understand it's only 2 or 3 or am I wrong? Or all the 13 or all the incumbents pretty much have wholesale operations? I'm just trying to understand in terms of share, right? How big are you versus others? If you can talk about that.
Ryan Crandall: Yes. So there's 4 other wholesalers in the state presently. But I would add to that, Pablo, that we are the largest today in the state with -- I think we have the largest opportunity to provide the most product to everyone at this point.
Pablo Ernesto Zuanic: Right. No, that's right. And then in the case of Pennsylvania, just to be clear, I mean, I think I understand we've seen so many MSA agreements out there. So I think I understand how they work. But I'm just trying to understand whether you're getting involved on the cash burn side of things, right? You are collecting a fee for the MSA for managing the operation. You're also going to collect the licensing fee for the brands that are going to -- for your brands being sold there. But in terms of -- if that's, let's say, a cash burning operation, do you get involved in that? Do you get involved in taking credit risk? Do you get involved in generating expenses from running that business? If you can give more color on the Pennsylvania MSA.
Jon R. Levine: Pablo, thank you for joining the call. This is Jon. Yes, when we look at going into a facility as a Managed Services Agreement, we're bringing in our expertise of cost controls, risk management and expansion of brands into every state that we go into. In most of the states, we started from the ground up. This is our first opportunity to go into a facility that is a cash flow positive right now facility and that we feel that we can make some improvements. I mean, Tim Shaw, our COO, has great experience of taking operations and making them more efficient. And Ryan, with the lead on the sales and the expansion of our brands into that state, we feel that we can not only grow the revenue but fix the cost so that we can expand their margins and be able to afford our fees that we're charging as well as pay their bills.
Pablo Ernesto Zuanic: Understood. And then in terms of stores, I believe that, that operation had the right to open three stores, but that license or that right was sold to someone else. So how are you thinking about the potential for MariMed to obtain licenses to have stores in Pennsylvania? Or are you going to focus just on wholesale?
Jon R. Levine: Pablo, again, we're just going in as a Managed Services Agreement. We're going to operate this as a wholesaler or expanding our CPG of our cannabis brands into the market of Pennsylvania. So that's the next state that we see going adult-use. We're not concentrating on that being a full vertical, we're concentrating on the wholesale and expansion of our brands.
Pablo Ernesto Zuanic: Right. And maybe one last one, Mario. If you can just -- I mean, obviously, MariMed has one of the best balance sheets out there. But just a reminder in terms of maturities coming up, whether you're in the market to refinance anything? Just some color there would be helpful.
Mario Pinho: Yes. So Pablo, I think you're aware of the one maturity we have coming up in February. We are in active conversations with them. At this point, we really don't have anything to share with you, but we're actively managing that and...
Jon R. Levine: All of our other expiration dates for renewals aren't for years because we have long-term mortgages that don't expire for 9 years. I think it's the first one.
Operator: And this concludes the question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Jon R. Levine: Thanks, everybody, for joining us on the call today, and we'll speak to you next quarter.
Operator: And this concludes today's conference call. Thank you for attending. You may now disconnect.